Operator: Good day, ladies and gentlemen. And welcome to the Third Quarter 2011 InfoSpace, Inc. Earnings Conference Call. My name is Tahisha, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Stacy Ybarra, Senior Director of Investor Relations. Please proceed.
Stacy Ybarra: Good afternoon, and welcome to InfoSpace's third quarter 2011 earnings conference call. On the call today are Bill Ruckelshaus, President and Chief Executive Officer; and Eric Emans, Chief Financial Officer. Before we begin, I'd like to remind you that during the course of this call, InfoSpace representatives will make forward-looking statements including, but not limited to, statements regarding InfoSpace's expectations about its products and services, outlook for the future of our business and growth initiatives, acquisition strategy and anticipated performance for the fourth quarter of 2011. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in InfoSpace's most recent quarterly report on Form 10-Q on file with the Securities and Exchange Commission.  InfoSpace assumes no obligation to update any forward-looking statement, which speak only as of the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In this press release, which has been posted on our website and the SEC on Form 8-K, we present GAAP and non-GAAP results, along with reconciliation tables and the reasons for our presentation of the non-GAAP information. Now, I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review the third quarter results and fourth quarter outlook, then we'll open it up to your questions.
William J. Ruckelshaus: Thanks, Stacy. And good afternoon, everyone. We are pleased to report another great quarter. Operationally, we performed well, driven once again by the strength in our distribution business. Revenue in the third quarter was $56.3 million, up 11% from the prior year and adjusted EBITDA was strong at $8.5 million. Our business continues to generate substantial cash flow and as you know, our balance sheet is particularly strong. We ended the quarter with $279.3 million in cash or roughly $7.10 per share. In the third quarter, we continued to optimize and improve performance through new product initiatives and distribution to more partners. And as a result, we're seeing strong underlying trends in the business. Excluding the impacts of Make The Web Better, revenues are up 22% year-over-year, in-line with industry growth rates. But the real story this quarter is the growth and continued growth in the distribution business. In the third quarter, distribution posted an impressive 40% year-on-year growth rate and now represents just over 80% of our total revenue. Importantly, we're seeing success both in our sales effort to win new contracts, as well as in maintaining and growing our existing accounts. We signed 11 new distribution partners in the quarter, which brings our total to 33 new partners this year. While the lion's share of our growth is coming from long-standing partners, we are beginning to see meaningful contribution from distribution partners launched more recently. This growth is encouraging as it confirms our view that the pace of innovation on the Internet is increasing, and it also validates our unique capabilities to partner with these innovators. Our distribution strategy allows us to leverage our domain expertise and years of end market experience and better serve medium- to smaller-sized Internet players through our core advantages of better monetization, compelling product offering and superior customer service. The search market is large and as you've seen in other announcements, quarterly announcements this year, major players in the space continues to grow at a rapid rate. With new utility applications, games and the proliferation of social media networks, increasingly more application providers are looking to search as a way to monetize and build out their revenue models. This is where we have an enormous opportunity in part because we focus on this segment and also in part because it's complementary to the areas of focus of Google and Yahoo!. We like to think that we serve as an organizing influence in this marketplace that we're creating by pairing up the demand as it's represented in the ad ecosystems from Google and Yahoo!, with the supply of our distribution partners. And we sit in the middle as an aggregator and monitor of the marketplace to make sure that the quality levels are high and that both parties on either side of the equation are satisfied as it relates to their goals and objectives. Our distribution partners value working with us because we offer monetization expertise, customized implementation and service levels they wouldn't necessarily get elsewhere. Our search engine providers value us because we service a segment of the market that often falls outside of their area of focus. Maintaining quality traffic for our search partners, their advertisers and promoting best practices within this segment of the market. We have a track record of growth in this space, and we believe we have the products, the team and the technology to be a leader in distributed search worldwide. Now turning to the owned and operated side of the business. Our engineering and operations development is focused on building applications and user interfaces to provide a better user experience to consumers. We recently launched the first phase of our new local search functionality on Dogpile, that enables consumers to better find local information. We've partnered with CityGrid as our content provider including both paid and nonpaid results for local data. We will continue to look at other verticals like Local as a way to improve the depth and breadth of our content by augmenting what we'd get from the major search engine partners. These improvements in technology and content will help drive engagement and retention among our existing users. We continue to believe that the search market is a strong one and that we can drive solid growth over the long term. Our metasearch model allows us to take advantage of the innovations and monetization capabilities of the major search engines and leverage their technology to offer great search products and services. I'm pleased with the progress the team has made in focusing on and improving our search offerings, and it's encouraging to see our financial results reflect that effort. Lastly, I'll touch on our acquisition strategy. We continue to recognize the opportunity we have here, the attractive opportunity to deploy our cash for strategically well-positioned financially attractive businesses where we believe we can succeed. We are constantly looking for new opportunities and as we continue to examine our options, we will remain disciplined in our approach. This is a top priority for management and the board, and we take our responsibility in this area very seriously. With that, I'll turn it over to Eric for details on the financials.
Eric M. Emans: Thanks, Bill. I'll start today with a review of financial results for the third quarter and end my comments with guidance for the fourth quarter. Revenue for the quarter was up $56.3 million -- revenue for the third quarter was $56.3 million, up  $5.7 million or 11% versus the third quarter of 2010 and up $2 million or 4% from the second quarter of 2011. The year-over-year and sequential revenue growth is driven by our distribution business, which grew by $12.9 million or 40% from the third quarter of 2010 and $3 million, or 7% from the second quarter of 2011. The third quarter 2011 marks the 4th straight quarter of sequential revenue growth for the distribution business, which now generates 81% of total revenue. The growth from the third quarter 2010 has primarily been driven by our long-standing distribution partners. While more than 50% of our sequential growth from the second quarter has come from distribution partners we launched this year. Specifically, these new partners have generated $3 million in the third quarter and a total of $4.6 million year-to-date. Our owned and operated properties represented 19% of revenue on the third quarter, down $7.2 million or 40% from the third quarter of 2010, and down $1 million or 9% from the second quarter of 2011. The year-over-year decrease is driven by the expected decline of $3.5 million from Make The Web Better, a drop of $2 million from our direct marketing initiatives, a decrease of $1 million from our organic search sites and a decline of $725,000 from our nonsearch product initiatives related to the shutdown of our auction website, Haggle. Versus the second quarter 2011, the decrease is driven by an expected drop of $500,000 from Make The Web Better and a decrease of approximately $700,000 from our organic search sites. Partially offsetting the sequential decrease was a gain of $150,000 from our direct marketing initiatives. Adjusted EBITDA for the quarter was $8.5 million, up by $1.9 million over 29% versus the same quarter last year and down $500,000, or 5% to the second quarter of 2011. The increase from the third quarter of 2010 was driven in part by $2.4 million in separation of service charges related to a departing executive recorded in the third quarter of 2010, by increased contributions from the distribution business and lower professional service fees. These gains were partially offset by the expected decrease in contribution from Make The Web Better and a decrease in contribution from our direct marketing initiatives and our organic search properties. The $5,000 decrease in the second quarter of 2011 was the net result from the expected decrease in contribution from Make The Web Better and our organic search sites, partially offset by increased contributions from the distribution business. The income from continuing operations in the third quarter of 2011 was $2.7 million or $0.07 per diluted share, up $1.1 million or $0.03 per diluted share versus the same period last year. Compared with the prior quarter, income from continuing operations was down $1.7 million or $0.05 per diluted share. This decrease was driven by a stock compensation charge of $1.9 million or $0.05 per diluted share due to warrants that were issued during the quarter. Income from continuing operations in the third quarter of 2011 included noncash income tax of $1.1 million, primarily related to our expected utilization of net operations loss carryforward. Excluding this noncash income tax expense, our non-GAAP net income was $3.8 million or $0.10 per diluted share, up $2.1 million or $0.05 per diluted share versus the same period last year and down $2.4 million or $0.06 per diluted share versus the prior quarter. Again, the decline compared to the second quarter of 2011 is due to the stock compensation charge for the warrant issued during the quarter. Net income for the quarter was $2.7 million or $0.07 per diluted share, up from a net loss of $3.9 million or $0.10 per diluted share from the prior quarter, which included a loss of $8.3 million or $0.22 per share from discontinued operations. We ended the quarter with $279.3 million in cash and short-term investments equal to $7.10 per share and we continue to hold no debt. Before I discuss our outlook for the fourth quarter, I want to briefly review an item called out in our press release today. We were recently informed by our independent auditors, Deloitte & Touche, that the PCAOB has submitted to Deloitte certain questions in conjunction with the PCAOB review of the audit of our 2010 financial statements. The questions are limited to the company's accounting treatment of goodwill in the amount of $12.7 million related to our acquisition of Make The Web Better in the second quarter of 2010. We are currently considering these questions and whether any changes to the company's accounting for this transaction would be appropriate. In the event we conclude that a change in the accounting is appropriate, it would likely result in a noncash charge requiring a restatement of our financial statements for the second quarter of 2010 and all subsequent periods. It is important to note that we believe any restatement would not affect the company's previously reported revenue or adjusted EBITDA. Further, the company believes that any such restatement would primarily impact 2010 and that would not have a material effect on our third quarter results. Now for our outlook. In the fourth quarter of 2011, we expect revenue to be between $58 million and $61 million, adjusted EBITDA between $7.5 million to $8.5 million and net income of $3.5 million to $4.5 million or $0.09 to $0.11 per diluted share. For our top line guidance, we expect growth primarily driven by greater revenue in our distribution business to be partially offset by the continued and expected attrition of Make The Web Better. With that, I will turn the call over to the operator and we will take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Clay Moran from Benchmark.
Clayton F. Moran: This is James on the line for Clay. I have a couple of questions. First, yesterday we noticed that there's an 8-K filed regarding the resignation of Stephen Hawthornthwaite. Can you tell us was his job pursuing acquisitions and developing search operations? And will he be replaced?
William J. Ruckelshaus: This is Bill Ruckelshaus. Yes, Stephen resigned after about 18 months with InfoSpace and his role was corporate development, so he's specifically focused on acquisitions, not search operations. M&A continues to be a top priority for us, as I said in my comments at the outset and I remain centrally involved in setting a strategy as to what we're doing and making sure that the right resources are in place to execute on our strategy. And right now, I can tell you that I'm excited about the team we have in place on the M&A front and continue to be optimistic that we will be successful in executing against our M&A strategy in the coming months.
Clayton F. Moran: And regarding the acquisition strategy, would you consider adding significant debt to complete a larger, more aggressive deal? And what's your thinking regarding a more aggressive type of deal?
William J. Ruckelshaus: So depending, I guess, aggressive is a subjective term. It means different things to different people. What we've said in the past, and I'll just reiterate because I think it is worth repeating, as it relates to what it is we're trying to do. So this is very central to where we see opportunities. It's something I'm spending personally a fair amount of my time on. And, really, what we're trying to do is look for good businesses to acquire. In that process of acquiring those, that business can evolve and maybe even transform the InfoSpace story going forward. And in that process, we're not feeling like we're constrained by online search or even the Internet more broadly as it relates to what we're looking at. And there's some industry sectors that we like because of their characteristics and we think that we might be able to succeed there. And from a financial perspective, we're looking for growing businesses that are ideally profitable and that have reasonable scale to them. And then as it relates to how a given deal would be structured, I think we're going to remain fairly open-minded and flexible. There'll be certain circumstances where it makes sense to think about an all-cash transaction and depending on the size of that transaction, it could be financed with excess cash or debt. And as you might imagine, where our equity is right now, we're going to be sensitive to dilution as it relates to how much equity consideration is in the mix, but that's another source of consideration as well for us.
Clayton F. Moran: Great. And then one more, I think previously, you had mentioned April 2012 as a sort of a reasonable time frame with which you were hoping to find an acquisition. Is that still the sort of the time frame you're thinking? And if there happens to be no progress by then, is there a plan b?
William J. Ruckelshaus: So we haven't talked about a plan b. It's certainly my expectation that we're going to be successful in what we're doing. There has never been a hard date put on what it is we're trying to do, other than I think we have missed no opportunity to express sort of the urgency with which we're trying to do this. We continue to be optimistic that this is the right thing to do with the capital, the fact that we're being disciplined, I think, is to the benefit of all the shareholders at InfoSpace. But there is not -- been a hard date put on a deadline in terms of this exercise.
Clayton F. Moran: Okay. Sorry, I have one more question. It looks like according to my calculations, Make The Web Better contributed roughly $1.7 million in the quarter, is that correct? And if so, we had that sort of disappearing as of the first quarter next year. Is it possible that could extend beyond that?
Eric M. Emans: This is Eric. Yes, $1.7 million is correct for the third quarter and I think we've talked about that. We expect that to decline about a 25% to 30% rate, quarter-over-quarter and that's what we expect the run rate to be. So yes, there'll be contribution into 2012, but at that depreciating rate.
Operator: Your next question comes from the line of Brian Bergen from Craig-Hallum.
Unknown Analyst -: I want to talk about the types of distribution partners that you're attracting. Are there any specific types like Internet service providers, give me a sense of who they are? And are there any specific types of partners that are more -- is there a more specific type that is attracted to working with InfoSpace?
William J. Ruckelshaus: Yes, so this is Bill. We've been asked this question before. We're not going to disclose the specific names of partners and I don't think that's what you asked, it's really more a kind of the types of partners. And where we have been seeing a lot of growth, both with respective partners that we -- partnerships we've had in place, prior to 2011 as well as partners that we've signed this year, is really on the applications providers front. It's providers of content, utility-based applications that often tend to be of a specific purpose for consumers. You can see where a lot of consumer consumption trends, both on the desktop as well as in particularly in mobile, where it's been discussed quite a bit and noted, is moving toward single-purpose applications. A lot of the partners that we are working with are innovative in developing tools and applications, specifically for consumers around targeted needs. And that's probably as good a characterization as I can put together around the segment of partners within our distribution network where we're seeing the most traction. And it's somewhat understandable when you think about the fact that they are, through their research and their product development efforts, focusing on specific areas of market need. And so once they do that, we're helping them introduce a revenue model into that offering.
Unknown Analyst -: You talked about the new vertical, the new local search functionality that you have. The verticals that, including this new local search functionality and the ones that you plan on building out, are they going to have similar economics to your traditional O&O business?
William J. Ruckelshaus: Yes, I think we're going to be monitoring the user benefit against the monetization and to the extent that there's a trade-off there, we'll make sure that we're taking that into account. But I think the north star for us is what's the user benefit? And that can be factored into both an acquisition effort, as well as a retention effort from a consumer standpoint. But that's really where we're going to be focused. Our hope would be that there isn't a significant monetization trade-off in providing greater benefit to consumers but in the case where there is, the tie will go to the consumer.
Unknown Analyst -: And my last one is you mentioned a bit here and you talked about last quarter as well that your targets for acquisitions are -- or Internet more broadly and there are some industries that are attractive, have you narrowed down any more than that since last quarter? And I'm trying to kind of pin down a little bit more than the comments you made a few minutes ago?
William J. Ruckelshaus: Yes, I think our strategy is really as we've articulated in the past, I think it's evolving as the market conditions evolve. But there's probably not a lot to update on that front.
Operator: Your next question comes from the line of James Cakmak from Sidoti & Company.
James Cakmak: As we see the distribution channel post the kind of growth that it is, we're in store for further margin degradation down the road, how are you guys thinking about that? And is there any way that we could possibly see better economics achieved with those partners to help offset some of the narrowing of that margin from the mix shift? And at the same time, how do you guys think about operating in a -- or how does it affect you operating in an inflationary CPC environment?
William J. Ruckelshaus: Yes, James, this is Bill. The mix shift is going to have this downward pressure on margins, there's no question. As we move to our distribution business, which carries a fair amount of tap with it. But that is not necessarily what we have our eye on. We're managing to more penny profit and bottom line absolute profitability, as opposed to necessarily margin or take rate on the top line revenue. With a segment of the business that's growing 40%, I think that margin compression is here to stay. The differential, as it relates to the gross margins between owned and operated in distribution, is pretty dramatic. So even in our abilities to tinker with a particular distribution partner's economics, it's still going to be a trade-off between O&O and distribution. But that being said, there are opportunities that we're seeing with our distribution network to improve upon the underlying economics of that relationship. In certain cases, it would be both to the benefit of the distribution partner and InfoSpace. In certain cases, it'll have to do with the commercial agreement we have in place with that distribution partner. But by and large, the phenomenal growth in that substantial segment of our business is a huge positive and one we want to capitalize on and not get in the way of. And then as it relates to an inflationary CPC environment, in the case where we're buying traffic, certainly that's going to have a negative impact to us as it relates to flow-through margin from acquired traffic. And certainly, with respect to our distribution partners, who themselves are in the customer acquisition game, they're going to need to get smart. But the hope for a case would be that they're monetizing better in a rising CPC environment as well, which is actually consistent with some trends we're seeing in our owned and operated. So I think that is a bit of a cautionary, particularly with respect to those segments of our business where we're heavily reliant on search engine marketing to acquire customers.
James Cakmak: Okay, that's fair. And then what are you guys doing differently now that's enabling you to achieve the success on the distribution side because it's not something that we've seen for a while?
William J. Ruckelshaus: Well, I think that there's a couple of things going on. One is that we have a good sales team, and we're able to, with the benefit of 10-plus years in the market, very credibly position ourselves as the monetization partner of choice and it's not just because of our ability to offer a metasearch offering which we think monetizes better, but it's also our ability to work individually with each customer and tailor what it is we're implementing in a way that suits their needs and then also offer ongoing levels of service that they find valuable. I think, so it's both in finding these customers, where they reside, spending time with them, letting the sales cycle run its course and being able to implement very quickly once we come to an agreement on terms. And I also think that there is -- there does tend to be a virtuous cycle in the sense that any new partner that we've signed in 2011, for example, during the course of our working with them to implement and in the early months post-implementation, we can share with them all the best practices that we've picked up through the years with our other partners and help them get down a curve very quickly. So the time to revenue with InfoSpace, we believe, is very quick as well.
Operator: Your next question comes from the line of Richard Tullo from Albert, Fried & Company.
Richard Tullo: The first one may be a little bit of a silly question, but I'd guess I'll ask it anyway. Is the Make The Web Better accounting problem defined as a material weakness in accounting controls? Can you provide a little color on the potential influence on goodwill? And since the deal performed better than expected, how can the accounting firm have a problem with goodwill? The second question is in relation to guidance. If distribution grew 40% in the quarter, I think your guidance range of revenue growth quarter-over-quarter is something like 5%. What are the factors at play -- what's being given up to offset that 40% growth? I assume it's going to be double-digits next quarter in your model? And why are the distribution partners monetizing better? So I guess that's the third question.
Eric M. Emans: This is Eric. I'll start with the first question as it relates to the accounting for the goodwill. As it relates to material weakness, I think that's a few steps down the road. At this point, we've been made aware of an issue, we are reviewing that issue and discussing it with our independent auditors and that's currently where we stand and pretty much all we can comment on at this point in time. We did talk about in other press release that it is limited to the Make The Web Better transaction and then specifically the goodwill of $12.7 million. So if you're trying to size it, that's basically the issue. And also, we believe the majority of the impact will be in 2010 and will not affect revenue or adjusted EBITDA. I think the last point as far as -- with the growth and the success, how we could have a problem with goodwill, I think what we're talking about here is a very technical accounting interpretation and I would leave it at that.
Richard Tullo: Okay, and then are any of these departures the one last night, the departure, the CFO, related to this issue?
Eric M. Emans: No.
William J. Ruckelshaus: And as a correction the CFO did not depart, it was the VP of Corporate Development.
Richard Tullo: Okay. I know that was last night's, but...
William J. Ruckelshaus: Okay, but no.
Richard Tullo: I know, and then regards to guidance. If distribution is -- it seems like it's going like Gangbusters, and that's a great story. But what's the offset at play? Because if you have one business growing at 40% and you only guided 5% quarter-over-quarter, there's got to be an offset and it seems like it would be greater than Make The Web Better.
Eric M. Emans: I would say the 40% growth is a year-over-year number. I mean, we're expecting sequential growth somewhere in the 5% to 10% range for that business, which is consistent with the 7% we saw this quarter. The offsetting impact are -- is Make The Web Better continues to decline and attrit, as well as we're hoping to hold the line on owned and operated, but really the impact of Make The Web Better and the fact that the real growth rate is similar to 5% and 10% on distribution.
Richard Tullo: Okay, and in regard to these distribution partners, what's at play with them monetizing faster because I mean, I think that's a great story?
William J. Ruckelshaus: Yes, I think the monetization is very much tied to the value proposition of the products that they're putting forth for consumers and the adoption of those products. And so the monetization is really kind of the lagging indicator as to the innovation they're doing on the consumer front. Because that's how they're acquiring consumers and once they've acquired the consumers, the monetization is what results from that.
Richard Tullo: All right. Given what's going on with Silicon Valley and kind of a little mini IPO fever right now, the big strategic deal is going to be hard to execute. Are there any, in regards to contingencies, in the pecking order, I mean, is LBO a possibility or accomplishing a number of bolt-on acquisitions that will compliment your business on a go-forward basis with little risk, probably a little upside in the immediate future but bringing something to table in the out years. I mean, is that something that you're kind of thinking about as well?
William J. Ruckelshaus: Yes, you mentioned a couple of different transaction types there. I'm not sure that we necessarily look to the IPO markets as an indicator of the viability of what we're trying to do on the acquisition front. And it's probably cooled off a little bit since earlier in the year, but that notwithstanding, I think where we're, as it relates to the strategy around how to put the capital work and what acquisitions to do, there is a view as to broadly define the industry sectors that we like and where we think we're going to have the greatest likelihood of success in finding actionable opportunities and then being successful in terms of integrating and executing post-transaction. And the financial profile will be businesses that are growing and we think that can help take InfoSpace to the next part of its story. And so as I've mentioned, the evolution or potentially even transforming what it is we're doing, the transaction type whether it's an LBO or a series of bolt-on transactions, I think that'll be very much circumstantial.
Richard Tullo: What was the dilutive effect of bringing on the Director during the quarter?
William J. Ruckelshaus: We issued approximately 760,000 shares with that [indiscernible]  investment.
Richard Tullo: And what does Cambridge bring to the table that any other Director from the investment community would offer you as well? I mean, it seems to me that to dilute the shareholders, to bring on a new Director, expresses a lot of confidence in that Director and could you please discuss the rationale behind that?
William J. Ruckelshaus: Sure. So we had a vacancy on our board and the effort over the course of 2011, really since April, announcing the appointment of Steve Hooper to our board in April of this year. We announced that we wanted to fill the -- and intended to fill the final seat with a shareholder. And so that was absolutely a piece of what it was we were doing in trying to find somebody who not only was going to be a great addition at the board level, but also be a shareholder, so we have that voice in the board room as well. And during the course of our evaluation of candidates, this Andy Snyder rose to the top and the structuring of the investment that coincided the appointment of Andy to the board was the outcome of the negotiation. And it was designed to put every incentive in place for Andy and his firm, CIG, to assist in the acquisition effort that's underway at InfoSpace and, obviously, participate in a successful outcome in a meaningful way. And I would say that we're thrilled with the contributions to date that are stemming from this investment, and are already seeing evidence of this being a successful partnership. So we're optimistic about it.
Operator: Your next question comes from the line of Ned Davis from Wm Smith & Co.
Ned Davis: Most of my questions have been answered, but I wanted to drill down more on this distribution issue. As you expand on this area, 2 real questions come to mind. What are the gates from expanding it even more to make it even a much more substantial business since you seem to be generating pretty good ROI, if you will, for your spend as well as your partner spend in this area? And then, secondly, is the competition for this specific territory, which as I understand, that the big search companies are just not equipped to really direct themselves to or don't want to. Is this competition changing? Are there new players out there? Are there larger companies that are paying attention to this space now? Or are you kind of dominating it?
William J. Ruckelshaus: Yes, this is Bill. I will say that I think we are encouraged about the growth in this part of our business. I think it speaks to, as I had mentioned at the outset, a lot of the innovation that's going on in the marketplace and our ability to partner with these types of innovators. The upside potential, I think, is considerable. I think we are in the middle of an upswing and we're absolutely participating in that upswing and want to participate more meaningfully. To a certain extent, it'll be rate limited by our feet on the street and our being able to get out in front of everyone of these consumer-facing application providers and otherwise, other segments of our business, our distribution business and strike existing relationships or strike new relationships with partners and then also just make sure that our existing partners continue to grow and that we're providing everything we can to help them do that. But I think it is an evolving market. I think there's some structural things going on, as I've mentioned, in terms of the way that consumer consumption patterns are evolving as it relates to single-purpose applications. And that's clearly witnessable in the mobile world, but also in the desktop. And so as that evolves we need to stay agile and stay in front of these partners and make sure that we continue to maintain and strengthen our value proposition with them, but I think there's lots of runway.
Ned Davis: Just one follow-up on that, can you give us any metrics on any expansion of your staff, your team both tech and marketing to address this growth? Does it require a significant increase in staffing over the next year to hit your objectives?
William J. Ruckelshaus: It does scale very nicely. So it isn't as if to double the business, you need to double the headcount, that's certainly not the model that we have in place. It's not like, for example, direct selling, display media or something like that where it tends to be much more people intensive. This is a very efficient service model and really one that we're able to leverage the customer acquisition and innovation activity that's going on within this partner network. But do so within a much more scalable service model. Now that being said, we are adding to resources, both with respect to our account management team, which is the team that services these accounts with respect to our sales team, that goes out and finds new accounts. And then also on the development side in adding to the development team and also reallocating resources within the development team to specifically focus on product enhancements catering to our distribution partners. And so there are resources being added and there's resources being reallocated specifically to this side of the business that we're seeing so much upside.
Operator: We have no more questions at this time.
Stacy Ybarra: I know. I was just going to say, if there are no more questions.
Operator: Yes, thank you. Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect.